Operator: Ladies and gentlemen, thank you for standing by and welcome to DiamondRock Hospitality's fourth quarter earnings call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. . Please be advised that today's conference may be recorded. .
Briony Quinn: Thank you Lateef. Good morning, everyone. Before we begin, please note that many of the comments made on today's call are considered to be forward-looking statements under federal securities laws. As described in our filings with the SEC, these statements are subject to numerous risks and uncertainties that could cause future results to differ materially from those implied by our comments today. In addition, on today's call we will discuss certain non-GAAP financial information. A reconciliation of this information to the most directly comparable GAAP financial measure can be found in our earnings press release. With that, I am pleased to turn the call over to Mark Brugger, our President and Chief Executive Officer.
Mark Brugger: Thank you Briony. Good morning everyone. Before we begin, on behalf of DiamondRock, I want to take a moment and extend our condolences to the Sorenson family to find the unexpected and heartbreaking news of Arne's passing. Over two decades ago, I began my career in lodging by working under Arne when he was a relatively new CFO at Marriott. I will dearly miss his friendship. But I take comfort knowing that the light he brought to his family, his friends and the industry will continue to shine well into the future. As we look toward that future, we are more optimistic today about the coming and likely robust recovery of the hotel industry. We are certainly more optimistic than at any point over the past year. In the short time since our last earnings call, multiple COVID-19 vaccines have been approved and over 65 million doses have been administered in the U.S. since distribution began in mid-December. Daily vaccinations have doubled in the last month and they are projected to exceed two million shots per day in coming weeks. Encouragingly, the Johnson & Johnson vaccine is set to receive approval next week. And President Biden has publicly said that the U.S. should have enough vaccines for everyone by early summer. We are optimistic that the combination of the rapid decline in cases over the last six weeks and the increasing pace of vaccinations will lead to an easing of governmental restrictions and the untethering of pent-up travel demand. The current data points to continued strength in leisure demand and an emerging modest trend of coming improvement in the group and business transients segments. DiamondRock's unique focus on drive-to resorts has been a source of strength for our company throughout the pandemic.
Jeff Donnelly: Thanks Mark. To start off, we successfully amended all of our bank debt subsequent to quarter-end. There are several notable features in our amendments that benefit the company. First, we extended our financial covenant waivers for the entire year. Our next scheduled covenant test will not be conducted until second quarter 2022 using results from first quarter of 2022. Second, we extended our relaxed covenant period thereafter to early 2023. This is five quarters beyond the waiver period and two quarters longer than we had in our earlier amendment. Third, we secure the ability to sell certain hotels and recycle those proceeds in the new acquisitions. Fourth, we have the ability to use all the cash raised from the $115 million preferred and $87 million of common equity on our ATM for new acquisitions. And fifth, we were pleased that the interest rate on our term loans only increased five basis points. I believe this may be the lowest increase of any non-investment grade hotel REIT.
Mark Brugger: Thanks Jeff. Before we take your questions, I want to cover three additional points. First, as Jeff mentioned, we opportunistically raised $87 million through our ATM program in late December. We accessed these funds to fund our pipeline of high ROI capital projects and position ourselves for external growth. Together with our previous preferred offering, today we have $200 million of capital available for acquisitions. We are currently actively underwriting a number of resort properties, mostly in our existing markets that have the potential to generate returns that exceed our cost of capital. We will update you when we have more details to share. The second point that we wanted to cover was that in August 2020, we struck a sweeping transaction with Marriott that we estimate created more than $50 million of NAV in our portfolio. The deal, among other factors, led to the conversion of five brand managed hotels to franchise agreements. This deal came on the heels of another deal we struck with Marriott earlier in 2020 to convert the 793-room Boston Westin from brand management to a franchise as well. These changes were, in many ways, transformative for DiamondRock, as we now have the least management unencumbered portfolio among all full-service lodging REITs. And we are already experiencing revenue and cost reduction benefits from these changes. In total, all these managed to franchise conversions are going to give DiamondRock a significant and unique tailwind coming out of the pandemic. In fact, they are projected to add an incremental 50 basis points to the entire portfolio's full year profit margins upon stabilization. The final highlight I will cover is that we are not standing still on rebranding opportunities within the portfolio. In fact, we are exploring the potential upbranding of six of our hotels over the next year. Let me point out a few of those for you. The Lodge at Sonoma will convert to an Autograph brand after it completes its $15 million renovation this summer. Our Vail Resort will convert from a standard Marriott to a Luxury Collection brand this fall as it completes its $42 million multi-year renovation. Additionally, today we were excited to announce that we are proceeding with the conversion and upbranding of the JW Marriott Denver to a Luxury Collection brand. Now while we cannot provide additional details at this time on other opportunities, we expect to have many more exciting details for you and announcements later this year. Finding value creation opportunities at are owned hotels is an obsession of ours. That concludes our prepared remarks. We are happy to close the door on 2020 and we are encouraged by the trends we are seeing of an emerging recovery in 2021. We have great assets, a solid balance sheet, strong industry relationships and an experienced management team that has weathered numerous prior downturns over the last 30 years. DiamondRock is in good shape outperform going forward. On that note, we will now open-up the call and are happy to take your questions.
Operator:  Our first question is comes from the line of Austin Wurschmidt of KeyBanc. Your question, please?
Austin Wurschmidt: Hi. Good morning everybody. And thanks for all the detail that you provided. I wanted to start out on the group side and I am really most interested in activity at the Boston Westin and Chicago Marriott. And you know, I was hoping you could provide some additional detail and comparisons on how group room nights in the back half of this year or even 2022 are stacking up versus 2018 or 2019? And then any rate comparisons that you can provide as well would be helpful.
Mark Brugger: Hi. Good morning Austin. This is Mark. I will start off and then kick it over to Tom for some comments. But if you look at the convention calendars for both Boston and Chicago for 2022, they are both very encouraging. In fact, room nights, from convention city wise, they are actually over 2019 levels as we move into the 2022. So that feels very good. We are still experiencing short term cancellations as people get in their cancellation window in Q1 and Q2 and we expect to see momentum building back after the year. As I mentioned in the prepared remarks, momentum has really picked up in the last four weeks. So we are seeing increased activity, increased lead volume and will still have to close a lot of that business. So that trend has really been a fairly recent phenomenon and as people I think have more confidence with the vaccine rollout and I think more confidence in when full vaccination of the U.S. will occur in early summer. So they are feeling more and more confident booking really, really mid-summer, really September on. And certainly the greater strength is in 2022. So Tom, do you want to make some comments on what you are seeing the usual hotels?
Tom Healy: Sure. Just at a high level, when we look at the pace, we have been comparing, I think, the first half of 2021 is going to behave like the second half of 2020. So we are heavily focused on Q3 and Q4 and what we can salvage and what we can shift into those months. On a positive note, we have about 78,000 room nights on the books for Q4. And to compare that to 2019, we had 79,000 group room nights on the books for 2019. So that that bodes well. Now you have heard a lot of people talk about ghost cancels and groups waiting to get inside their contract terms and to use force majeure to get out of their contracts. So we have had a lot of that in Q4. As Mark mentioned, we had some significant cancels in Q4 for Q4 and also for the 2021. And much of the cancels that occurred in Q4 for 2021, were in the first half of the year. So once again, that goes back to the point we are focusing on Q3, Q4, which are holding up. And 2022 looks very positive right now. 2022, we have about 268,000 rooms on the books. That's up from 217,000 rooms when we spoke last quarter. To give you to give you an idea, we actually had in the quarter, we had about 700,000 room nights prospects come up for future months. So that's extremely positive. Some Cvent trends that we have been monitoring is January momentum kept up through the month. The last three weeks were the highest in the U.S. since March. Awarded RFPs were up week-over-week, each week in January and into February. So momentum looks strong there. The last two weeks of January, the average booking window improved almost back to pre-COVID booking window levels, larger meetings of 100 rooms or more are growing in share. We continue to shift toward second half of 2021 and 2022 arrival dates, which looks very positive. We are seeing the bookings even through Cvent shift in the same way we are seeing them at the property level. And generally, the booking window is back to normal. The largest market, demand is still down, pace is about 44% for 2021 and 58% for 2022 and then rate  are positive year-over-year for 2022. And social, leisure and education still showing the most strength in the segmentation based on what's coming. And there really are no significant changes with corporate pickup yet at this point. Not that we can see. But we know that corporate is very short term and it will come. To give you an example we had 525,000 rooms on the books in 2019 and then we finished the year at 777,000. So, we have picked up about 250,000 in the year for the year in 2019. That bodes well for us in the back half of this year and certainly as we get as we move into 2022. The other notes on 2022 are important. When we look at the citywide pace, Boston has about 362,000 room nights on the books. That is up 42%. To give you a benchmark, 2019 at the same time, we had 349,000 room nights on the books. So Boston's actually ahead of 2019's pace. Chicago has about 1.26 million rooms on the books. That's up 32%. Compared to 2019, which is another important metric, was 1.142 million. So Boston and Chicago's citywide pace are both up to 2019. As compared to like San Francisco, which has about 648,000 on the books. Now that shows that it's up significantly to prior year, but it's still down significantly to 2019 about 845,000. So DC is up 416,000 room nights on the books. That's up 48% compared to 2019, which was a 387,000. And then some other highlight markets that we were looking positive. San Diego's up about 739,000 rooms. That's up by 44% compared to 2019 at 732,000. So, it's a very positive, 2022 is shaping up to be pretty positive and we are seeing good activity in our portfolio.
Austin Wurschmidt: Thanks. A lot of great detail in there. I wanted to transition to the acquisition pipeline and opportunities you have before you. And I guess, could you give us a sense of where you are in the process of the comfort level of moving forward with transactions? How would you characterize competition and pricing for these types of assets which have increased? Certainly, you were there early, but it feels like others are increasingly looking for these same types of deals. And then if you were to transact, can you give us a sense of where that would get you towards your kind of targeted exposure that you have talked about to resorts?
Mark Brugger: Sure Austin. This is Mark. So a lot of sub-questions in there. So first on the comfort level. So, we are you comfortable shifting from defense to offense at this point. I think we feel comfortable that we can see the light at the end of the tunnel. We can underwrite the vaccine rollout. We are not going to get the exact trajectory right. But I think we have enough confidence that we kind of have a good feel for where it's going to go. So also with comfort level, we are comfortable with the capital we have today to go out and deploy $200 million in acquisitions. We do have a pipeline. It is a competitive environment. As I mentioned in the prepared remarks, one of the things that we are doing there is to focus on a number of the existing markets that we are in, where it's both strategic and synergistic with assets we already own so that we can underwrite those deals. And often, we have relationships within those markets of owners of other assets to try to encourage off-market transactions. So we have a pipeline. It is competitive. We are hoping that our head-start and we have been working a number of these owners and off-market assets for years, frankly and that we will be able to pry some loose and create some deals in this environment.
Austin Wurschmidt: And then just with respect to kind of where this would put you, I guess, with your targeted exposure?
Mark Brugger: Yes. So we are about third, resort leisure. We would like to get to 50%. So it's obviously all incremental. At some point, we will probably lighten up on some of our urban assets over the next couple of years as well to get to that shift as well.
Austin Wurschmidt: Great. Thanks for answering all the questions.
Mark Brugger: Thanks Austin.
Operator: Thank you. Our next question comes from Smedes Rose of Citi. Your line is open.
Smedes Rose: Hi folks. I wanted to ask you just a little bit more about the potential to trend positive. I think you mentioned at the portfolio level in the third quarter. And I was just wondering, could you just talk about what sort of occupancy levels you think you need to achieve and rates in order to do that? And when you say portfolio, is that, that's not at the corporate level? And maybe you could just talk about what you need to get to corporate level breakeven as well.
Mark Brugger: Jeff, do you want to take that?
Jeff Donnelly: Yes. Good morning Smedes. We had talked in the past that we gave some different thresholds on occupancy about where we would need that to be in order to breakeven both at the hotel level and at the corporate level. I think the figures that we are looking at is, on a GOP level, I think the occupancy was kind of in the low to mid or in the mid-20% occupancy level. I think at the corporate EBITDA level, I think the figures we are looking at is kind of around 40% to 45% occupancy. And that presumes that rates are down probably 15% to 20%.
Smedes Rose: Okay. So I mean it seems like the cost savings are scattered than what you were anticipating, certainly relative to our model? And you mentioned that the fourth quarter was better than your internal expectations. But that doesn't change those forecasts in terms of getting to breakeven?
Jeff Donnelly: I am sorry. You broke up a little bit in the last part of your question.
Smedes Rose: It seems like the fourth quarter expense savings was better than what you guys would have expected. And I am just wondering, is that just, does that just gives you more confidence in being able to get to breakeven at the levels you mentioned? Or do you think it could maybe be at even lower levels, given a better rate of savings?
Jeff Donnelly: Yes. Thank you. Sorry. It's a good question. I would say compared to the start of the pandemic, we have seen our threshold for breakeven measured by occupancy trend lower over time and I think some of that is, as you pointed out, that we have had more competence and more success around the expense side. And I think that's a good way to explain it. I think as we roll forward, obviously, it's a function of the mix and where that occupancy materializes within our portfolio because every hotel has a bit of its own unique breakeven point. But we have been encouraged by our ability to control costs in this environment.
Smedes Rose: Thanks. And then Mark, could you just talk a little bit about, given the heightened interest in leisure assets, does that extend to Frenchman's? And are you having a lot of, I guess, constructive conversations around bringing in a partner there? Or what's the kind of feel on the active market level?
Mark Brugger: Sure. And I think the macro environment is, people are hunting for deals, right. There's been a lot of capital raised and a lot of interest in particularly leisure oriented assets. So we mentioned last call, we have engaged an investment advisor to go out and seek a capital partner that could fund the balance of the rebuild with us. That process has been, I think the amount of interest exceeded our initial expectations. So that's positive. And I think for the reason that you said, it was just people recognize that leisure is going to be strong and more durable and probably more willing to stretch on those kind of assets. And so yes, we have more interest than we originally expected. We are working that process now. And we hope to get that resolved in the coming.
Smedes Rose: Okay. Thank you.
Mark Brugger: Sure.
Operator: Thank you. Our next question comes from Thomas Allen of Morgan Stanley. Your line is open.
Thomas Allen: Hi. Good morning. So with your covenants, it allows you to sell assets and retain those proceeds to make acquisitions? How are you thinking about potential disposition?
Mark Brugger: Yes. Tom, this is Mark. So you know, we like our balance sheet position. So we are not feeling compelled. But we are getting a lot of inbound inquiries on a number of assets. And so I guess every asset is technically for sale at the right price. So we will continue evaluating. Having the flexibility to sell, particularly urban assets and redeploy those into more leisure oriented assets is certainly consistent with our strategic goals. So we will evaluate those and kind of work individual, mostly inbound inquiries over the balance of 2021 to see if we can find arbitrage and kind of keep at our strategic transformation.
Thomas Allen: Helpful. Thanks. And then just on the business interruption insurance, I think it's been pretty uniform that companies haven't been able to get business interruption insurance because of COVID. How were you able to get it?
Jeff Donnelly: Well, everyone said it. Yes. Jeff, I could jump in here. I mean, everyone's got a different insurance policy. We negotiated for a pandemic insurance with some specific sub limits. And yes, we were able to track the cancellations of bookings to kind of work into that claim. So we were entitled to what we negotiated for when we got our policy, which was pre-pandemic and we are happy that the insurers agreed with sour claim.
Thomas Allen: Do you think you will be able to continue using it? Or is this kind of it?
Jeff Donnelly: There's a sub limit per property. So we have hit that sub-limit for the Boston Westin, which is where the claim was related.
Thomas Allen: Perfect. Thank you.
Operator: Thank you. Our next question comes from the line of Anthony Powell of Barclays. Please go ahead.
Anthony Powell: Hi. Good morning. A lot of the ADR growth at some of the resources have been pretty impressive. Do you think we will be able to hold on to that growth, both this year and in future years as more options for travel kind of reemerge?
Mark Brugger: Yes. I think generally, yes. There will probably be some go-backs. I think, for 2021 and for 2022, domestic travel is going to still be the beneficiary of people not going abroad. And I think people are discovering some of these resorts that didn't discover them before. So I think, we brought in the audience and I think they are telling their friends and colleagues. And so I think that they are having great experiences. I mean, if you read the reviews of the people staying at these resorts, even at these higher elevated ADRs, they are having good experiences. The other piece of it, I think that may backfill if there's a little ebbing over the next couple of years is that we basically have no small groups at these resorts. So to the extent we might lose a little bit of rate  go to France instead of Sedona, we were able to put in some high-rated incentive and some-high rated group. That just doesn't exist right now. So it's probably that washes out. So we are pretty encouraged about the future for these kinds of assets.
Anthony Powell: And I guess a follow-up. I mean, as you mentioned you are doing some more upbranding at some of your hotels. You identified three and you said three more. Is that, I mean, are you just seeing a better rate opportunity across your portfolio than you expected? Or what's kind of driving these upbranding decisions you are making?
Mark Brugger: Yes. I think, we have had good success. I think, particularly Marriott's shown a lot of willingness if we come up with good designs and good plans and good execution or operating models to allow us to move into higher categories with more luxury rated brands. So we think it's a really good use of our money. And we put out an updated investor deck last night. And if you look at the ROI page on, I think, its slide 11, the average return IRR in these projects and a number of them are in there, is 47% on all of our ROI projects. So I mean it's hard to buy an asset where you can get a 47% IRR. So we remain excited about those. They are some of the best investments we can make and so the team is super focused on finding more of those high return opportunities within the portfolio.
Anthony Powell: Great. Thank you.
Mark Brugger: Thank you.
Operator: Thank you. Our next question comes from Michael Bellisario of Baird. Your line is open.
Michael Bellisario: Good morning everyone.
Mark Brugger: Good morning.
Michael Bellisario: Just first question on the ATM usage. Could you help us think about the issuance price versus what you have earmarked the proceeds for? I know you have talked about the ROI returns. But just the relative return there? And then secondarily, if you are opportunistic with the issuance in December, maybe why haven't you been opportunistic year-to-date with the stock 20% to 25% higher?
Mark Brugger: Hi Michael. Great question. So again, it kind of relates back to the ROI project schedule. So we have, if you look in the deck we put out last night, we have $67 million of identified ROI projects. So we have about another $30 million on top of that, that are in the evaluation stage, including the three other repositioning that we are trying to finalize now. So it just seemed like very smart cap allocation to be able to raise some money and redeploy it at 40% plus IRRs. That relative trade was good. We don't have an unlimited amount of those. I wish we did. So we thought that the amount we raised was sufficient to match fund it with the high value ROI projects that we had and just further positioned us as well to start the shift from defense to offense as we have more clarity and are more optimistic about the recovery in lodging.
Michael Bellisario: Got it. And then just back to the group in the big box hotels. Can you help us kind of get our arms around or how are you getting your arms around values, underlying real estate values of your group focused hotels today? And also your expectation for both the ramp-up in fundamentals, but also the underlying real estate value that you see or that maybe prospective buyers would see are underwriting in those big box group focused hotels?
Mark Brugger: Yes. I would say of all the assets, well, I think New York and San Francisco have been hard on valuation to kind of figure out where value is. Resorts have probably been the easiest. And I think big boxes would fall into the spectrum of tough to understand value. We are seeing good group pace in the last four weeks. So we will continue to get clarity, but I think it's a big check, generally for these hotels. And so it's more risky because it's a singular investment with that big check. So I think it's hard. There has been virtually no trades of big boxes in the US. I think it will be dependent city-by-city. Some of these cities cover much quicker than other cities. I think we are more optimistic on our two big box hotels because of the citywides in Boston and Chicago in 2022. But valuation is still, I think still uncertain on these kind of assets right now is actually where it's going check out.
Michael Bellisario: Thank you.
Operator: Thank you. Our next question comes from the line of Lukas Hartwich of Green Street. Your question, please.
Lukas Hartwich: Thanks. So there seems to be pretty decent odds that we will see an increase in the minimum wage. I am just curious what your thoughts are around that issue?
Mark Brugger: Yes. I mean if you look at where our assets are concentrated, generally these markets already have increased minimum wage. And I bet less than 2% of our workers, our hotels make minimum wage. So it shouldn't be a major impact on us. There will be some markets where it probably is more impactful. But if you think about where the bulk of our assets are located in those markets, raising minimum wage $11 to $15 isn't going to have a major impact. I mean, our housekeepers in New York City probably make about $28 an hour plus. So, it's more pressure on the cost structure. But I don't think you will see a major hit to the profitability of hotels in the kind of markets that we are in.
Lukas Hartwich: Do you think that maybe if the minimum wage increases, that kind of forces that ratio, if employees are earning a wage above the minimum wage today, the minimum wage increase of that ratio kind of goes down. Does that ratio change? Or does it stay constant, which would put upward pressure on these employees earning above the minimum wage?
Mark Brugger: Yes. I am sure there's some upward pressure for the employees that make $2 above the new set of minimum wage when you bring in new people. So that's basic economics. Again, we don't have that many people around minimum wage. So it's probably,-there will be some impact. But it's not one of our top 10 concerns on cost containment right now.
Lukas Hartwich: Got it. And last one for me. It's just last year, there was an expectation that we would see supply reductions in some markets, most notably New York but also in some other markets. I am just curious if we are seeing some evidence of that in New York? But are you seeing evidence outside of New York of supply being converted to other use?
Mark Brugger: No, we are not. It's very market specific. I mean, New York is obviously the poster child for that opportunity. But we are really not seeing it in other markets. I mean, there's a little in student housing conversion in some of our markets where it might happen to be right next to a university. But by and large, it's a New York City phenomenon at this moment.
Lukas Hartwich: Excellent. Thank you.
Mark Brugger: Sure.
Operator: Thank you. Our next question comes from Chris Woronka of Deutsche Bank. Your line is open.
Chris Woronka: Hi. Good morning guys. You have talked about potentially lightening up on certain urban assets in coming years focus on resorts. I am curious as to whether you think there's a major difference in how you underwrite recovery and/or value in some of those urban markets relative to how potential buyers are underwriting that same recovery or value?
Mark Brugger: Yes. Different point of view makes the market. So, yes. I mean I don't want to talk against any of our assets that we might consider selling. But yes, we are going to have different views. I mean I think we have a different view in San Francisco, probably more negative than then some other people out in the marketplace. New York's an interesting market. We think its very sub market dependent. Midtown East, we are more bullish on. I think, South, the Battery and that kind of area, Financial District, we are probably more bearish on. So yes, there are funds being raised with specific themes. I mean, frankly, I had a call yesterday from a broker who was representing a fund that was just focused on big box hotels that they raised money just to buy those. And so I have talked to another investor group maybe two weeks ago that it just raised money just to invest in New York City, in New York City recovery thesis. So people are going to take different positions. It's a competitive environment out there. I think you will see people take relatively aggressive pretty narrow focused trade thesis and deploy those. Inevitably some of those are going to be different than our perspectives. And hopefully, there's arbitrage there that we can lighten up with some of the urban assets and redeploy those into more leisure oriented assets over the next couple of years.
Chris Woronka: Okay. That's helpful. And then also Mark, we hear the brand certainly talking about a lot of conversion opportunities and it seems like many of those go to soft brands and you are doing a few of them yourselves. How do you think about that? Obviously, it's not new supply, it's not new rooms. But it if it's within the same brand family, do you think a hotel across the street from your hotel that goes to a soft brand? Is that a net positive or net negative to your hotel?
Mark Brugger: Yes. So I guess it depends a little bit on the unique circumstances. So if we had a hotel and we are at Hilton and there was another property across the way that was already there. But was not in the Hilton system, it becomes a curio. Yes, that's going to have an impact, certainly much less of an impact than if they built a brand new hotel and made a curio. It's dramatically smaller, but it will have an impact. When they manage,- there's some rate integrity. So if they can bring in an independent, let me use that same example. So let's say that we own a Hilton. Across the street, there's a 300-room independent and it's been problematic and that they don't have a big enough funnel to have rate integrity. And it goes in and becomes a curio and it's got a much bigger pipe in. It can be and I have seen this, it could be synergistic in that both, now you don't have this hotel right across the street at $50 lower rate. There's more parity because it's got the stronger brand channel and it actually helps your hotel. So I think it just depends on the unique circumstances. Clearly, if they are converting thousands of rooms nearby, it will dilute the pipe going into your building. But it can also help take independents that are struggling on rate, especially in this environment and get that rate up and that can help your hotel because you are not being undercut on the rate.
Chris Woronka: Okay. Very helpful. Thanks Mark.
Mark Brugger: Sure.
Operator: Thank you. Our next question comes from Bill Crow of Raymond James. Please go ahead.
Bill Crow: Good morning. Thank you. Mark. I am curious how far down the path of an asset sale or multiple asset sales you went before deciding to raise equity in the fourth quarter. There were reports out there in the media that you were marketing the Lex, as an example. And I am just curious whether you were down that path that Sunstone and Pebblebrook and others have gone through?
Mark Brugger: Yes. It's a good question. And capital is all relative for what you can sell or what you can redeploy. Our sense of the market and I think NAVs have gone up considerably, probably in the last 45 to 60 days was the mark on some of the assets where they were versus the ability to issue equity and the certainty of having the funds to deploy in this high ROI opportunities, it was just a clearer path. And I think selling last year at kind of the prices that people were talking about, just thought we could get a lot more for the assets if we waited another three to six months till the vaccine was out and the rollout and there was clarity. So it seems smarter to issue a little bit of equity to match fund these ROI projects than sell something that we thought was too much of a discount. Well, we could see that pretty soon the NAVs would be rising in the private markets and we would be able to take advantage of that if we chose to.
Bill Crow: Okay. Maybe going back to Tom Healy on group in 2022. I am curious on the new book group meetings versus those that were already on the books, how is the pricing different?
Tom Healy: Bill, I think we are seeing 2022 pricing is stable. As I mentioned earlier, what's going on to books is probably at around 2019's pricing levels. So I think we feel good about the pricing for 2022. As I mentioned, citywides were up. I guess, the property team has more confidence in a lot of our markets. Our pace is not -- it's in good shape. And we think in the year, for the air as there's pent-up demand, it's going to be positive and we are going to certainly push rate further.
Bill Crow: Is there any-- sorry. Go ahead?
Tom Healy: Good. No, go ahead.
Bill Crow: I was just curious whether there's any sense in your part that maybe the meeting planners are starting to get worried about losing prime dates for next year? Or is it just too early for that concern?
Tom Healy: I think it's too early to tell. There's so many, as mentioned, group cancels and such, there's so many shifts. We have seen it up the cancels, we saw in Q4 about 27.4% of the groups that cancel got rebooked and they are pushing out. They are pushing into Q4 and into 2022. So there's a lot of noise with shifting right now. I think everybody's still trying to, the challenge is, what's on the book is going to stay and then what's on the book is going to pickup. So there's no history at this point for like a citywide block. Historically speaking, it's 10,000 rooms. And we will come in at 10,000 rooms or we will come in at 5,000 rooms and all of a sudden, you know how that works, when it actualizes and it starts to come in, all of a sudden everybody reacts to, if it doesn't pick up, it's block. There's a reaction and rates drop. And then you are trying to backfill with self contained groups. So it's a tricky puzzle. And I think we are focused on rate because that's where our profit is going to come from and we see things good.
Bill Crow: Good. One more for me. For you Tom, that is, are you getting more requests for hybrid meetings?
Tom Healy: I can't say that we have heard, you will hear of that it on, especially with the groups, the association is that these meetings they make revenue, they are revenue generators for them. So they want to do hybrids to get to continue to meetings in their shows. We are hearing that. I am not sure that trend continues. I think I can't see that occurring long term. I think that's a short term phenomenon.
Bill Crow: Okay. Thank you.
Operator: Thank you. Our next question comes from of Floris van Dijkum of Compass Point. Your line is open.
Floris van Dijkum: Great. Thanks for taking my question, guys. Mark, I just wanted to maybe if you could maybe provide some additional comments on the equity rates. We understand the proceeds were used to fund the high ROI and obviously maintain balance sheet integrity. But in hindsight, it appears like it was really expensive equity. Do you have a better sense of Diamondrock's NAV than the street? Shouldn't you have a better sense of where your NAV should be? And did you really think that NAV was in the in the mid-8s when you when you raised that?
Mark Brugger: Yes. So all fair questions. I think we looked at it, it's not a statement of NAV, it's a statement of use of proceeds. And so again, if our IRRs are correct on this underwriting, we can get a 40% return, then that's a smart equity issuance, given that relative. Even at $8.23, you are not getting to 40% IRR on that return. It's a good smart trade of raising equity and redeploying into those high value opportunities. It's hard to know where your stock is going at any point in time, right. There's a lot of cross currents. I do think NAV's have increased, as I mentioned earlier, over the last 45, 60 days. We can see that. We have had, it's interesting, we track inbound inquiries and there's some brokers that represent people that have been chasing assets in our portfolio. And I would say within the last three weeks, people have come back to us with prices that are 10% to 15% higher than they were in November, December last year.
Floris van Dijkum: Great. I was just another follow up maybe. As you build a war chest, obviously one is to sell some of your existing assets which you guys have talked about that makes strategic sense and also protects the integrity of the balance sheet again. Have you thought about pursuing convert similar to one of your peers to build a war chest and maybe signal to the market, actually guys, this is why our NAV's are significantly higher?
Mark Brugger: Sure, Jeff, you want to take that?
Jeff Donnelly: Yes, happy to. Yes, I recognize that some of our peers have explored converts in it. It's something that we do look at on an opportunistic basis as ways to push out our debt maturities. The one point I would raise is that thus far, there's probably been three or four of our peers who have done bond deals and convert deals and those proceeds have really been to refinance existing debt that was maturing in the next 12 to 24 months. For us, to explore a convert, which is viewed as debt, it is unsecured debt, but it is nevertheless viewed as debt and puts more pressure on your covenants. For us to raise convert proceeds today, if I am assuming your example is to raise convert to use that for the ROI projects, I appreciate that's an attractive return on capital as well. It's a favorable spread. But it is a leveraging event. You are leveraging up to do that. And I recognize there might be a time in the future, we will look back and say that that was an ideal time. But on the other hand, we are still not out of the words as an industry yet and I think, folks are trying to find ways to ensure that we will be compliant with covenants. So there is risk inherent in leveraging into the environment right now, I would say.
Floris van Dijkum: Fair enough. I appreciate the comments. Maybe if you can provide some additional comment on the pricing for resorts? Again, rumors of the Four Seasons Calistoga going for $2 million a key. Presumably you are not willing to pay those kinds of prices. What type would you like? And does pricing for resort hotels actually makes sense right now in your view?
Mark Brugger: Yes. It's the hot flavor for the right reasons in today's marketplace. So yes, I think some, listen, there will be bad deals that will be made on some resorts. Our focus has been really on deals that we have been chasing for a long time and unique individual relationships we have and particularly places where we have an advantage because we have existing assets. And so it's not only strategic, but there's synergies as well, where we can complex things and make it, even if it's a little bit pricey, the cost savings from the synergies make it a really compelling deal for our company. So that's how we are trying to distinguish ourselves. I think it's good that we have been doing this for a number of years before other people are starting to get into it. I think that gives us a little bit of an edge. But prices for a lot of these assets, so we are going to have to work hard to make sure we are doing very solid deals. I think we have a good strategy to do that. We certainly have the right team. And I think our head starts going to kind of give us that distinguishing feature where we can uncover some deals that actually work and create value where other people that are just, I will call, new to the game, maybe forced overpay a little bit.
Floris van Dijkum: Thanks Mark. I appreciate it.
Mark Brugger: Absolutely.
Operator: Thank you. Our next question comes from Dori Kesten of Wells Fargo. Your line is open.
Dori Kesten: Thanks. Good morning everyone. Is there an internal preference to JV Frenchman's versus an outright sale? And has engaging a consultant to find capital partners resulted in an increase in inbound calls for an outright sale?
Mark Brugger: Dori, it's a great question. So our advisors have been out there with the primary goal of finding someone that can help fund and get this hotel open as soon as possible. And then, what we have told folks and partners is, we are flexible on the structure. So we believe in it. So are we happy to stay in and take more of a backend piece? Sure. And different investors have come to us with, I would say, probably six to eight different structures have been presented to us. So they all have kind of trade offs of how much risk we take on the construction versus the purchase price versus more involvement or less involvement, more back-ended, more front-ended. So I think the kind of the broad outlines are, we still believe in the pro forma. We would be happy to take a more back-ended piece in a structured deal. And we are going to accommodate the capital partner who can move the fastest and ultimately provides the highest NPV for our shareholders to do a structured deal.
Dori Kesten: Okay. Thank you.
Mark Brugger: Absolutely.
Operator: Thank you. Our next question is a follow-up from Austin Wurschmidt of KeyBanc. Your line is open.
Austin Wurschmidt: Yes. Thanks for taking this, guys. Just one quick one, a little bit of a follow-up on Bill's question around dispositions. You guys amended the franchise agreement at the Lexington hotel last year to include a termination right option up until, I believe, this April. Could you just give the latest update on that?
Mark Brugger: So, first on, so we did amend the Lexington agreement as part of the sweeping transaction with Marriott and it gives the ability to terminate that franchise agreement at any point in the future. Actually, the cost ratchets down over time. The owner has, whether us or subsequent buyer. And certainly substantially increases the marketability and flexibility of that asset going forward. So that's an asset we probably won't own five years from now. But that that certainly helps on the disposition side and certainly makes it more marketable. And that was the primary goal in negotiating that feature with Marriott. So, a good observation.
Austin Wurschmidt: Got it. Understood. Thank you.
Operator: Thank you. Our next question comes from Stephen Grambling of Goldman Sachs. Your line is open.
Stephen Grambling: Thanks. You have already answered a lot. So thanks for letting me in. Giving your focus on more independent resort properties, how would you evaluate a soft brand like Curator, launched by your peer Pebblebrook, as a way to potentially further increase that edge that you referenced in operating these? And then as a related follow-up, what are the barriers to entry for someone like you launching something similar, given your niche?
Mark Brugger: Yes. So I done really want comment on someone else's deal. The deals that we have done, we would be able to find a lot of synergies through our operators. So whether that's purchasing power or the ability to get lower OTA, negotiated fees or credit card fees, by having the right operator in there, I think we can realize almost all those synergies. So I don't think by creating something on our own, probably the cost of setup and doing that offsets any small incremental difference there. And frankly, it would be hard to get the buying power of some of the managers that we use. So that's not a road we are going to go down. We are focused on soft brands and independents and lifestyle hotels. We have had a lot of success with those. I mean the things that we are counting on is the kinds of the stars in the portfolio right now are The Landing in Lake Tahoe and L'Auberge de Sedona, both of those are independent. We are getting the benefit of the operators there and their synergies with all their buying power within their system. So we already realized those in our P&L. So I don't think that there's any incremental profit from trying to create or recreate the wheel on that.
Stephen Grambling: Got it. Helpful. Thanks so much.
Mark Brugger: Absolutely.
Operator: Thank you. At this time, I would like to turn the call back over to President and CEO Mark Brugger for closing remarks. Sir?
Mark Brugger: Thank you. Everyone on this call, we appreciate your continued interest in DiamondRock and we look forward to updating you on the next call. Take care.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.